Operator: Welcome to Adyen's H1 2023 Earnings Call. We look forward to discussing our key updates from the last period. We closed H1 with continued growth of EUR 739.1 million in net revenue, up 21% year-on-year, though we remain focused on building Adyen for the long term. This cycle presented shifting economic dynamics as the macro landscape evolved, we saw North American digital businesses increasingly priorized cost optimization. We know that growth is not always linear and continued progressing towards our sizable opportunity while meeting our customers' ever-evolving needs. 
 This included launching new products across all pillars from advanced authentication functionality that drives conversion to tap to pay on Android to productizing our payout solution. These innovations enabled us to help drive our customers' ambitions even in the current climate and enabled our distinct momentum across our platforms and unified commerce offerings. To further our trajectory, H1 was also a period of continued investment in building our global team to accelerate growth across key initiatives and regions. The talent market provided a tailwind that helped us remain on track in adding 551 joiners this cycle. 
 Along the way, we remained focused on effectively scaling our culture of speed and autonomy across our global team. Following this continued investment period, EBITDA margin landed at 43% with the team nearly at its next phase of scale, we remain confident in the robustness of our business model and the long-term opportunity ahead of us. Together, we are working to realize it.
 We are now pleased to dive into this period in greater detail. We'll start with a fireside chat with our Co-Founder and Co-CEO, Pieter van der Does; and our CFO, Ethan Tandowsky. [Operator Instructions]. Thank you for your cooperation. 
Steven van Bommel: Good morning, good afternoon and good evening, and thank you for joining us today at Adyen's 2023 H1 earnings call. I'm really glad to be joined today by our Co-Founder and Co-CEO, Pieter van der Does; and our CFO, Ethan Tandowsky. Now let's jump right into it, Pieter. If you look back at the first half of this year, what are the things that really excited you and perhaps, also touch upon a few of the things that perhaps didn't grow according to our expectations? 
Pieter van der Does: What we are really pleased to see is that -- let's start with platforms. Many of the business that we do, the companies that we do business with as consumers, the SMB, the smaller and midsized companies, they are on the platform. And what is happening that as SMBs move more to platforms, it's an essential part of the economy for us to be part of. And we see very high growth there. So that's important. It's an area where we have been investing you see that we release a lot of products, and then we have a lot of traction there. Smart growing off a smaller base, obviously. Unified commerce to merge what is happening in store with online so that our shopper journeys work perfectly, we are very good at that and we see high growth there. If you look at online where we started the company, we see lower growth than what we hoped for.
 And the reason for that is that we have seen increasing competitive pressure in North America, and that's, to my view, related to a higher interest rate environment, more companies are looking at the bottom line, and that's an environment in which they try to see if cheaper alternatives work. It's the part of the business that's easiest to switch, U.S. online. We are still growing, right? So it's not that we're shrinking there, but it's growing at a lower pace than anticipated.
 Still, we feel that we should also, in that part of our business, keep investing because total cost of ownership is what we believe what defines the choice of payment partner. And we believe that we have still room to also further invest there, and make the product even better and then that's the way to grow also the digital part.
 We expanded the team. We also announced already last year that we'll grow this year with about the same number of people as we did last year. Necesasry because if we look at our long-term opportunity, nothing changed. It's still out there, it's still huge, and we need to have the right team on board to grasp that opportunity. And we are building towards that. It's a good market for us to hire people. So we get very talented people on board. We always have to bar very high, we keep it high, and we're successfully executing there. 
Steven van Bommel: So despite some of the headwinds from the macro environment, definitely also tailwinds, especially when it comes to hiring. We see strong growth in unified commerce. We see strong growth in platforms, still strong growth in digital, albeit at a slightly lower pace than what we had hoped. Ethan, can you perhaps talk us through a bit of the financial results then connected to that? 
Ethan Tandowsky: Yes, absolutely. So to start with, process volumes grew 23%, with growth across each of the 3 pillars. So again, growing in digital, growing in unified commerce and growing on the platform side. Similarly, we grew net revenues at 21% in the first half of the year, and we continue to make the investments in the team that Pieter referenced. We brought on an additional 550 people in investment phase that we've been in now for the last 18 months. We hired a majority of tech people. 
 So around 3/4 of the team of the new hires were in tech with the majority of the rest in the commercial side. And we grew faster outside of Amsterdam, then in Amsterdam as we want to get closer to our customer base as well. Ultimately, the team is the biggest place that we can invest and that led to EBITDA margins coming in at 43% for the half year. At the same time, what was a bit of a headwind with interest rates rising on the net revenue side. We saw that actually as a tailwind for our total net income. We increased our interest income given our conservative balance sheet. And for the half year, we were flat year-over-year from a net income perspective even as we made all of those investments. 
Steven van Bommel: So to Pieter's earlier point, saying the long-term opportunity remains unchanged. We continue to invest in that -- you see that reflected in our financial results this half cultural perspective. We've always been very open saying, we have a great hand of cards. It's up to us to play it. We know that our head count and our culture is key to us achieving that success. Can you talk a bit more about what we're ensuring to make sure that we continue to scale that culture at an accelerated hiring pace? 
Pieter van der Does: I think what's really nice to see is that we are on the list of senior people that before didn't think that Adyen is a logical step in their career. And that means that to fill internal senior positions, we can do that with talent raised within Adyen, but we can also do that with people that had a career outside of Adyen. And it gives a healthy mix. And when you're smaller, you cannot really do that because that would change your culture too much. Our culture is so strongly ingrained in the company that we now have that opportunity to bring those people on board to benefit from all their experience. Tried something new, and we're very pleased and we see it working out. So we have quite a significant number also of what we call flying leaders.
 So all in all, if you see what we onboarded this half year. I think this is a team that can really grasp this opportunity that we have. And remember, this is the last year that we will add so many people with the team so the team is getting close to the size that we want to do this execution with. 
Steven van Bommel: That's great to see that. We can then also onboard the people that also believe in that long term or which you need that will help us get us there. Thank you both for your insights. I'm now going to hand it over to my colleague, Sanne Minnema, who will lead our Q&A. We ask you to put in any questions you may have into the Q&A functionality of Zoom. We won't be using the raised hand function. Please leave your full name and the firm you represent. We will then invite you by name and ask you to unmute yourself and ask your question. 
Sanne Minnema: Thank you, Steven. And indeed, the floor is open for Q&A. Let me see what question we'll answer first. Our first question is going to be from Mohammed Moawalla from Goldman Sachs. 
Mohammed Moawalla: Great. Firstly, I just wanted to ask around the strategy you have to perhaps turn some of the headwinds in North America to drive kind of an acceleration? And could we see that some of the pricing pressure potentially weighing on growth further? Or do you feel some of the stuff you talked about on platforms or new products can start to come into the mix to drive an improvement. 
 And then secondly, it's -- I think for the first time, Adyen's kind of top line growth has fallen outside of your midterm target range. And I know that you had said in the past that you'd hope to kind of be within that range as you navigate challenges. So I'm just curious to understand when you expect to kind of return to those levels and perhaps what are the underlying kind of assumptions at the lower end and the upper end of that range to the extent you can comment on that? 
Sanne Minnema: Thanks for your question, Mo. Pieter, could you take the first part of Mo's question about our strategy in the U.S.? And then Ethan, could you follow up with the second part? 
Pieter van der Does: So if you look at our strategy in the U.S., it is to roll out all products, so platform, unified commerce and also digital. Our strategy is to invest in the product. We think that cost of ownership is very important, and we think that is the lowest with our product. We could -- I mean, we run a single platform. We run at the lowest cost. So we could join a price fight. We don't think that's the right strategy. 
 Then if you look at -- if your question is so what's happening next -- the next half year, that's not really the window that we look at. We are building for a longer -- for a way longer window. And then there's nothing where I would say this is not a sound strategy to keep on adding to the product. That's what brought us here. And you see we diversify indeed, as you ask, is the product diversification, yes, it's important to play in the platform economy, and it's important that we play in unified commerce. So I think that's a healthy way of looking at it and how we progress from here. 
Ethan Tandowsky: Yes. And if you look at the way that we've defined our financial objectives, we've defined them over the medium term on a net revenue basis. And the reason we have is because as a management team, we feel like that's the best time horizon to take decisions to ultimately capitalize on the opportunity that we have ahead. 
 If you look at the hiring we're doing now, revenues and costs in the short term, they're disconnected, but it's really important that we make these investments now today to make sure that we have the best chance to realize the opportunity that we have ahead of us. And that's why we continue to reiterate our financial objectives and confirm the medium-term guidance that we shared before. 
Sanne Minnema: Thank you, Peter. Thank you, Ethan. Mo, I think we've also answered your question. Let me see who's up next. Next up, we have Adam Wood from Morgan Stanley. Adam, we're listening. 
Adam Wood: Maybe just to -- one again on the midterm guidance of mid-20s to low 30s. Could you maybe just help us a little bit with the assumptions that you're making that give you the confidence that you can get back there. You mentioned sales capacity in the release this morning, how much of it is down to that? 
 And secondly, when we think about competition, how much of it is the investments that you're making now improve and add to the differentiation that you have versus peers in the U.S. market, that means that you can keep the pricing you have but go back to taking the share of growth that you had before? And maybe specifically, is there enough value-added payments market in the U.S., which is more commoditized in Europe, that, that performance differentiation can be enough versus peers that have good enough products and actually price below you today? 
Sanne Minnema: Thanks for your questions, Adam. Ethan, if you could take the first part about if I recall, entirely correct, how will reaccelerate in the midterm and what the impact of our expanded sales capacity will be. And Pieter, if you can then also speak to how we build for solving for complexity in the U.S., how that adds to our competitive advantage. 
Pieter van der Does: Yes. So in general, I'd say that complexity we've seen be on the rise year after year across each of the markets we're in, whether that's additional payment methods in each of the markets, whether that's more products being rolled out by the schemes that we can help leverage things like data only, which we announced this half year, which basically helps us collect more data to get to higher authorization levels, for example, these are all things which are increasing the complexity over time, which give us the feeling that functionality will allow us to capitalize on the opportunity. 
 That's why we think that the opportunity is sizable, but also that our place in that opportunity is unchanged from where it has been. And that's also why we feel confident across each digital, unified commerce and platforms that we can grow at a high rate and that we can get to the levels that we've discussed in our medium-term guidance. 
Sanne Minnema: I actually feel like there was already a pretty complete answer, but I want to see whether Pieter has anything to add before we move on to the next question. 
Pieter van der Does: The -- I agree, of course, with what Ethan said. If there is any place where you could say, which is the most prone to price competition, the easiest market then would be U.S. online because you can switch volumes, you can try something. So I think that, that's quite separate -- it's a pocket in terms of  a huge market. It's a pocket in terms of unified commerce. It excludes unified commerce, it excludes platforms. And therefore, it's isolated. It's an isolated phenomena that we see there. 
Sanne Minnema: Thank you. And thank you, Adam for your question. Next up is James Goodman from Barclays. 
James Goodman: My questions, I'll go for 2, please. Just firstly, you talked about the 2024 operating leverage coming back into the business. I think you've spoken before about hiring this year less than the 1,200 of last year and fewer people again in '24. Could you give us a specific an update as you can in terms of the hiring plans for the business because the magnitude of operating leverage in '24 will clearly depend upon the revenue growth but also the rate of hiring. 
 The other question I had really was just around the churn rate in the business. So you talk about 1% churn by volume, but I think I've understood that correctly as being customers that have actually left the platform. Clearly, what we're talking about today is a number of your customers who've switched some portion of their volume away to a competitor for reasons of price. So maybe if we were to look at churn on a like-for-like volume basis, you could help us a little bit with how significant that is as a proportion of your business maybe versus the last half period? 
Sanne Minnema: Thank you for your question, James. Pieter, if you could take James' first question on our hiring plans for the upcoming year and after. And Ethan, if you could take James' second question on volume churn. 
Pieter van der Does: So if you see what we're hiring, it's flying leaders, as we call them, so leaders from outside  almost 75% of what we hire is engineers to build functionality to increase the delta, always increase the delta between us and what the market has to offer. And then the pocket below would be commercial people and we spoke a little bit about that before. We under hired a bit in the U.S. on the commercial side. So you also see that it's a contributing factor. You also see that back in the numbers. So that's what we do for the hiring. Then at the end of the year, we feel that we are at size. It's an investment that we make. We don't do acquisitions. So this is the way how we grow the company. And then after that, we'll grow at a much lower pace. 
Sanne Minnema: Thank you, Pieter. And James' second question on volume churn. Could you take it Ethan? 
Ethan Tandowsky: Yes, sure. And James, yes, you are right. We haven't seen any of our significant customers leave the platform in the first half of 2023 given that it is less than 1%. Of course, we've highlighted that growth was slower in North America on the digital side. One thing I would reference is that overall, we have grown with our digital customers to the rate of 23% year-over-year on a volume basis to identify exactly which volumes shifted where is difficult for us because we're gaining wallet share with our customers at the same time. Our customers are also growing at different rates, so to identify which parts and where is tricky for us. But on an overall basis, we were able to grow our digital volumes by 23%. 
Sanne Minnema: Thank you. James, I hope we've answered your question. Next up is Fred Boulan from Bank of America. 
Frederic Boulan: Can you hear me? 
Pieter van der Does: Yes. 
Sanne Minnema: Yes we can. 
Frederic Boulan: Perfect. Maybe a clarification on the previous commentary on phasing. So on the revenue side. So you seem to be saying H2 is not really the horizon you're looking at. But when we look at some of the building blocks and the new initiatives you have around capital issuing the push on the in-store area. Can you maybe help us a little bit understand how we go back to the kind of midterm revenue ambition versus the kind of 20-ish percent we are right now. In particular, there's any service do you think will start to contribute meaningfully in the next 1 or 2 years. I mean, it would be quite useful to understand that a little bit.
 And then second, if you can clarify a bit more on competition, as you guys explained, you defended pricing, but had some impact on volumes. Can you explain us or share with us a little bit the specific actions you're seeing from competitors? And do you think this is structural or more kind of a tactical action that you're seeing from your main peers in the U.S. 
Sanne Minnema: Thank you, Fred, for asking your questions. Ethan, could you take Fred's first part on our mid-term revenue ambitions. And then Pieter, could you take the second part of Fred's questions on how we are further billing to differentiate ourselves. 
Ethan Tandowsky: Sure. So I think the best way to look at our future growth is to chunk it out by pillar. So if we start in digital, right? Digital is where we've been the longest. In the end, we still have a very small market share of the global e-com traffic around the world. We still feel there's a big opportunity because functionality, we really do believe is what's going to drive market share gains also in the digital space.
 Yes, there is now more competition, more pressure in North America. But there's a huge opportunity there and elsewhere in the world for us to grow. So we still really expect to be able to grow in digital over the coming years. Next to that, of course, we have unified commerce, where we are seeing really good traction, especially on the point-of-sale side. Point of sale in total grew in the high 40% on the volume basis this half year. We see big opportunity there. Complexity is rising. That continues. So we think we can grow substantially on the unified commerce side.
 And then, of course, platforms. If you look at platform volume ex-eBay, of course, it's the smallest, but it's also growing the fastest at 82% on a volume basis this half year. The embedded payments opportunity within platforms by itself is really, really massive. So we think that as the SMBs get picked up by this platform and start to get their payment services by them that we're the right partner to help those large platforms get to their customers, and we want to ride that wave. We think we can. 
 At the same time, of course, there's a wider set of services and wider set of offering that these platforms are looking to embed. It will take us time. We see good traction, and we hear good, customer feedback on our new products like on issuing. We talked about Olo, for example, which is 1 of the customers that we've signed on the platform side, who starts with payments, but of course, we've signed to work on our entire embedded financial product suite. We've announced other customers like Buildertrend or FinaPay. So really nice traction there. On the embedded financial product side, it will take us some time like anything, it needs time to grow, but we're really excited about the traction we're getting there. 
Sanne Minnema: Thank you. Pieter, the second part of Fred's question, like how do we continue to build to further differentiate ourselves from our competition. 
Pieter van der Does: What you see if the competition cannot follow is price pressure because you can always play with price. Of course, we also use now this window to explain to our merchants like how we help them in being cost efficient with out rates, with payment methods, which are cost efficient, helping them to optimize their business. But it doesn't change our view on the long-term strategy. You need to have a company with our single platform. We have the highest return on the hours of an engineer because it's worldwide available. We have this opportunity to create that best platform and half a year of increased competition in the U.S. in 1 of our segments is not going to change that. 
Sanne Minnema: Thank you, Pieter. I think we've answered both of your questions. Next up is Justin from Credit Suisse. I think -- were you still saying something? Or can we move on to the next question? I think we can move on to the next question. Next up is Justin from Credit Suisse. 
Justin Forsythe: Peter, Ethan, Sanne, can you hear me? 
Pieter van der Does: Yes. 
Sanne Minnema: Yes, we can. 
Justin Forsythe: I appreciate the time. I've got a couple of questions as well, if you don't mind. So the first one was to dive into the pricing environment a little more. It sounds like from your comments that this is a temporary state, if you will, within the environment within the U.S. I guess, could you detail that a little further? Are you saying that competitors are taking unprofitable pricing actions now, which are unsustainable implying that, that will flip at some point? And when do you expect this will flip? Is it tied to inflation or other macroeconomic factors? That's the first question.
 Second question, I wanted to talk a little bit about value-added services. So can you speak to the differentiation of the payout services, which you called out in the shareholder letter, you talked about getting early connection in the Fed now. Do you believe your payout solution is differentiated? And do the real-time capabilities further enhance that differentiation? Do any others have a similar capability? 
Sanne Minnema: Thanks for your questions, Justin. Pieter, could you take Justin's first question on pricing environment? And Ethan, could you take the second 1 on payouts? 
Pieter van der Does: On the pricing, we have seen -- in the years past us, we have seen competitors pricing low and sometimes that works. We have also seen that sometimes the business comes back. Your question is very short term. As in do you think that will come back the issues very briefly? I think for us, the key question is do we think that with a better platform to call the cost of ownership of payments is the lowest for the merchant, and we do believe that. So that means investing in the team and making sure that we release functionality. And if you look at what we have been releasing in the last half year, I think that's quite impressive. So that's how we look at this rather than joining that battle, although we could really well because with that single platform, we have a very, very low cost per transaction. But I don't think the strategic way to go because it's better to have the resources to build a really good quality platform. 
Sanne Minnema: Thank you, Pieter. And speaking of the functionalities that we released this half, Ethan, could you speak a bit to payouts? 
Ethan Tandowsky: Yes, sure. So of course, payouts for us is a big part of our platform offering. It's not only receiving money in, but also paying out to the other side of the platform. It's also, for us, important that we can also offer this to our other customers, so digital customers and unified commerce customers.
 What's unique about what we have to offer is the combination, especially between being able to do, call the pay in or the acquiring side of the business and also to do the payouts. We can leverage our banking license. I think this is -- it's one of the great places where our banking license really helps us. We have the license here in Europe, we also have the branch license in the U.S. And that also makes connecting to other payment rails easier.
 So you mentioned Fed Now. We have been certified. That's a big benefit of getting that U.S. branch license is that we can look at these type of new innovations that are happening in different markets at different times, in this case in the U.S. And we can see how we can best help our customers with it. But we have it all in our own control because we have the licensing framework, we have the global setup that allows us to do it, and that can solve a lot of complexity for our customers the same way we do it on the pay-in side. 
Sanne Minnema: Thank you, Justin. I think we've answered your questions. Next up is Hannes Leitner from Jefferies. If not, we're going to move on to Alexandre Faure from BNP Paribas, and Hannes we'll try to get back to you later. 
Alexandre Faure: Can you hear me okay? 
Pieter van der Does: Yes. 
Sanne Minnema: Yes, we can. 
Alexandre Faure: Really a housekeeping question for me,  I think in your volume disclosure, just suggest that there's a bit of a taper down in the volumes you're processing with eBay. So I was just wondering what's going on with that account? 
Sanne Minnema: Thank you, Alexandre. Ethan, could you take that question? 
Ethan Tandowsky: Yes, sure. So of course, we've been growing in our relationship with eBay over past years. We've been very explicit about that. We have ramped up the biggest part of their volumes, and they are in the optimization phase of certain payment methods. I think what's important for us and how we look at it is that -- over the years, our concentration with key customers has declined. So we've been able to build up our volumes across a wide base of customers and each passing period, that continues to be the case. And so I think that's also important to call out here. 
Sanne Minnema: Thank you. Alexander, I think we've answered your question here. Next up is Sandeep from JPMorgan. 
Sandeep Deshpande: Yes. Can you hear me? 
Pieter van der Does: Yes. 
Sandeep Deshpande: Yes. So my question is coming back to this competitive environment in the U.S. when the marginal cost of an additional payment for Adyen is essentially 0, I'm trying to understand why in the current environment, Adyen cannot be flexible on pricing, given that you have a tech advantage when the environment improves, you can adjust the pricing or this is not a possible scenario in the current technology to be able to be adjusting pricing depending on the environment that you are facing? 
 And the second question I have is to revert, I mean -- before, but I just want to understand to revert back to the growth that you've talked about, the 25% to 35% in the midterm. Are new products, a key driver of that? Or do you think that the existing business will take you back to that sort of growth? And if the -- if it is going to be driven by new products, can we talk about the timing of when things like issuing or lending or some other products that you are coming out with will begin to drive your revenue? 
Sanne Minnema: Thank you for your question, Sandeep. Pieter, could you take Sandeep's question on competition in the U.S. and pricing? And Ethan, the impact of our more -- or newer products on our midterm guidance? 
Pieter van der Does: Yes. I think that if you look at the model that Adyen runs, it's a model where -- because we have a single platform, which is available worldwide, we can run it very efficiently because that 1 FTE engineer, what that person does is available worldwide. So that means that we are in an environment where the highest functionality and the best product, therefore, is linked to relatively very low cost. And it comes at a certain disadvantage because it takes time to build that way. You don't do acquisitions, you only run a single platform. 
 So it all needs to be built on that platform. So that is the challenge that we took on. That does give you, indeed, makes your pricing strategy rather than that you are bound to a high cost price. But I see it as a luxury and its strategic room. But I think having money to invest and being able to deliver the best product is ultimately the model that will win. And because it's such a global model in a single platform, that's very, very powerful. 
 So I would find it unfortunate to use that power, which we do have. But I agree with you, should we want to, we can at a certain point, decide like, okay, it's on -- we do that for that certain than the market segment. It's not our strategy today because we feel that what we bring is really efficient for a merchant to run. 
Sanne Minnema: Thank you, Pieter. Ethan, could you speak to Sandeep's second question on how our newer product initiatives will contribute to our midterm guidance. 
Ethan Tandowsky: Yes. If we talk about our embedded financial product specifically, we've always said that will take time. That will continue to take time. It's not the 1 dependency we have on our business being successful. We see a lot of avenues for growth. We're really excited about those. We're also excited about EFP, but it's not what the company is living or dying from. We have plenty of opportunities for growth, and we're excited about those too. So it's not dependent on that by itself. 
Sanne Minnema: Thank you. Sandeep, thanks for asking your questions. Next up is Josh Levin. 
Joshua Levin: Just one question for me. On your call back in February, you were really confident that Adyen would deliver on the medium-term revenue growth guidance of, say, 25% to 32% this year. What's changed since the February call? Would it be fair to say that you were caught off guard by the pricing dynamic and pricing competition in the U.S.? Or is it something else? 
Sanne Minnema: Ethan, could you take Josh's question? 
Ethan Tandowsky: Yes, sure. And I think that's what we've tried to be most transparent about is that in the U.S., especially on the digital side, there have been shifting priorities of many of our customers. And that is something that means that our growth was slower than what we expected. In the other areas, we have been able to grow in the way that we wanted to. So it is really specific to that market and to the shifting priorities there that has changed those expectations. 
Sanne Minnema: Thanks, Ethan, and thank you, Josh for asking your questions. Next up is Pavan Daswani. 
Pavan Daswani: Can you hear me? 
Pieter van der Does: Yes. 
Sanne Minnema: Yes, we can. 
Pavan Daswani: Another couple on competition, if I may. Firstly, you have talked about the pressure on volumes in North America as customers shifted volumes to lower-priced platforms. What actions are you taking to kind of bridge these volumes back to Adyen. If it is price, what can you do to really become the lowest cost provider again? Or is it more than just price? And then secondly, could you maybe touch on competition in Europe, whether you're seeing or expect to see similar pressures there? 
Sanne Minnema: Thank you for your questions. Let's switch it up. And Ethan, could you take this question on competition this time. 
Ethan Tandowsky: Yes, sure. So I think, in general, the best way to think about each market is about the complexity that exists in it, right? So in the U.S. comes from a place where the complexity was relatively low, especially if you were domestically focused, really, really large market, relatively small number of payment methods. What we've seen is that there's been more and more payment methods over time. That helps increase conversion, but it also can help reduce costs depending on your business model. 
 There's other features that have been rolled out, like data only, which I mentioned earlier, which help you also increase conversion. So there's a number of ways that you can look at the total cost of ownership in any given market. We feel with these additional payment methods. If you look at open banking, for example, as another example, but also about the efficiency that comes with streamlining your back office functions that we can provide with getting -- helping you to get 1 set of reporting, 1 set of reconciliation. All of that stuff helps and helps to lower the total cost of ownership of payments, of which in the U.S., we play a small part. So that's why we still think that functionality here plays the biggest role.
 On the European side, there's always been a lot of complexity. There are so many different countries, there's different currencies, there's different payment methods by market. So also here in Europe, we've just seen that the complexity kind of has always been there. It's also increasing, but it's a different level of complexity. So you also see slightly different dynamics in the market. So again, to Pieter's point earlier, I would say that U.S. specifically is more of an isolated market by itself, where we do still see functionality as driving our market share gains, but of which there is a bit of a different level of complexity. 
Sanne Minnema: Thank you. I think we have answered your questions. Up next is Lisa Ellis from MoffettNathanson. 
Lisa Dejong Ellis: Terrific. Just 2 for me. The first one, a question on unified commerce volumes. I know they were strong year-on-year, up 36%, but they did downtick sequentially. Is that just seasonality? Or are there other dynamics going on there? And sort of what's the best way to think about the trajectory of growth in unified commerce. And then the second one is just related to the labor cost. It looked like you're seeing higher cost to attract the talent that you're looking for outside of Europe. And so I'm just -- it would be helpful to get a little bit of color on how you see margins recovering over time if labor costs are going to be structurally higher as you expand globally. 
Sanne Minnema: Thank you, Lisa. Ethan, if you could take Lisa's first question on developments within unified commerce volumes. And Pieter, if you could take hiring for a second question. 
Ethan Tandowsky: Yes, sure. So there definitely is a bit of a seasonal nature on the point-of-sale side. We've grown in the high 40% this year, year-over-year. But yes, there definitely is a seasonal component to it. We typically see that the percentage of our total volume that's at the point of sale is higher in the second half than in the first half. We're very excited about our point-of-sale growth, not only because it comes in unified commerce, but also because we see it coming on the platform side. And that's one of the ways we can really help these platforms differentiate is when they have both an in-store component of their business and in online, we can make a big difference helping them as well. And we're seeing even faster growth on the platform side within point of sale as well. So yes, we're seeing good growth that we're positive about on that side. 
Sanne Minnema: Thank you. And Pieter, Lisa second question was on increased labor cost and how that perhaps also related to hiring outside of Europe? 
Pieter van der Does: Yes. We are a global company, and we're hiring where our merchants are. So we're also hiring more in markets which are often more expensive than the Netherlands. We're also hiring in more -- we have senior leaders, which we want to mix with internal talents and they also come at a different salary. So indeed, it's true that, that creates a higher cost. But I think it's a very healthy development to be attractive to those individuals and that they will really help us to scale. 
Sanne Minnema: Thank you, Pieter. Next up is Harshita Rawat. 
Harshita Rawat: My first one is, just given the volatility in the results, have you thought about giving interim say, interest quarterly volume metrics to investors so that they have some visibility into the business trends. And then my second question is, can you talk about the take rates or volume to revenue conversion, it felt like that came in better versus what investors were expecting. Is that because of North America e-commerce is weak and that's like lower pricing overall? Any insights would be appreciated. 
Sanne Minnema: Two great CFO questions. Ethan, could you take the first 1 on perhaps providing for quarterly insights on our volumes. And the second one on take rates. 
Ethan Tandowsky: Yes, sure. So when we, as a management team, look at the opportunity that we have, it's really a medium- to long-term opportunity. To make investments today, they won't pay off in the short term. They'll pay off in the medium to long term in the business we're in, enterprise payments business, it takes time for things to grow and to mature and also to bring on people who can make the impact that we need them to make. So we're always very focused on that medium to long-term opportunity. 
 And that's also why we've tried to say, let's keep as much of that long-term perspective externally so that we stay focused on that opportunity as a team as much as possible on the inside. That's why we've taken the approach of sharing half-yearly numbers. We try to be open and transparent when we're in this investment phase for instance, that we would be hiring at a similar rate to what we did last year. Well, we've hired 550 people or so. So been able to execute across that plan. But we really want to be sure that as a company, we're focused on that opportunity and that we take decisions today, which help us get there in the long run.
 On the second question, which is around take rates. In the end, for us, take rates isn't something we manage on. It's something that's driven by our merchant mix. One of the trends that we saw over past half years is that our full stack percentage was decreasing as airline volumes was coming back. We've seen less of an impact of that, for example, in the first half of this year, where our full stack percentage was relatively stable. Other than that, it just comes down to merchant mix. And in this half year, it was relatively stable. 
Sanne Minnema: Thank you. Let's see who we have up next. Next up is Sanjay Sakhrani from KBW. 
Sanjay Sakhrani: I guess first question for Ethan. Just following up on some of the commentary you provided on this call, is it fair to think that the second half EBITDA margins might be under a little bit more pressure relative to the first half, given the additional hiring you expect? And -- or can the revenue growth coming better than expected than what we saw in the first half? And then maybe a second question for Pieter. Just thinking about that 65% long-term EBITDA margin expectation, given what you're seeing in the competitive dynamics of the market, I mean, Is that still a valid level of margin expectation? Or does something else have to come in and contribute to get to those levels again? And how soon can you get there? 
Sanne Minnema: Thank you, Sanjay. I think my job is done. Ethan, can you take your first question. And Pieter, the second. 
Ethan Tandowsky: Sure. So of course, it's difficult for us to guide on the second half, given that the financial objectives we share are over the medium to long term. What we have shared is that we plan to grow the team in a similar way as last year. Through half of the year, we did about half of that. We did about 550. Last year, we grew just under 1,200 people. So we plan to continue to grow the team at a similar rate to what we did this half year more on an absolute basis than a relative one.
 Of course, hiring takes some time for it to impact EBITDA. Wages trail for about 12 months until they're fully in any given year. So we'll continue to hire into the second half and then really plan to slow hiring to ensure that the business grows faster than the team starting in 2024. 
Sanne Minnema: Thank you. And Pieter, Sanjay's second question on our long-term 65% objective. 
Pieter van der Does: If you look at how we build everything on that single platform, so how high the return is on everything we do, that means that you build an enormous operational leverage. So if we roll out the company, you get to very high EBITDA numbers. Currently, you see something else because we deliberately invest if you don't acquire companies, you need to invest. Otherwise, you don't get to do the proper size to capture that. I don't see anything changed. We are releasing, we're onboarding. And this is a company where cost is very much under our control, but we feel that this is the best way to get there. So for me, nothing changed if there is half a year headwind in the U.S. domestic online market. 
Sanne Minnema: Thank you, Pieter. Next up is Nooshin Nejati from Deutsche Bank. 
Nooshin Nejati: I guess I'm wondering about your -- the volume that is coming from your top 10 clients. If you can share that KPI with us. So for half year, so we can compare it to the full year 2022. I think because the churn rate is rather on whether if your clients are still processing any sort of volumes which you are not, we would like to see how much of your total volume is shifting, not exactly where or how or so, but just to have some sort of idea over there. And then if you look at the take rate, it has been stable. And I guess, given the strategy of you that you gain more share of wallet from your existing customer or, let's say, larger clients, most of us assume that decreasing trend here. Does this mean that you didn't increase the share of wallet as much as you did last year with your larger clients? Or there were other factors involved here? 
Sanne Minnema: Thank you for your questions, Nooshin. Ethan, could you take Nooshin's questions? First one is whether we can provide insights on volumes in our top -- from our top 10 clients and the second one is on take rates. 
Ethan Tandowsky: Yes. So in general, we see that our concentration is decreasing with our customers. So as the years go on, as the periods go on, we see that we have a wider base of customers. We're growing with a wider set of those customers as well. So over time, we've seen that concentration decreased. This period is no different. In terms of take rate, it's indeed stable. It's indeed related to merchant mix. And in some periods, it comes down to growth with certain customer groups and other periods with other customer groups. One of the big reasons that take rate was declining in the past was that the average transaction value is going up and the full stack percentage was going down. It was largely due to travel coming back, which is at lower take rates given that we only do the processing for them. So that happened at a much lesser extent this half year. That was one of the key reasons why it stayed stable. 
Sanne Minnema: Thank you, Ethan. Next up is Tammy Qiu from Berenberg. 
Tammy Qiu: So a follow-up on the pricing pressure from the North American market, please. Is the pricing pressure started with competitors going aggressively? Or is actually the merchants revising their cost base? And my second question is, you talked about your cost of ownership in the call and said your cost of ownership is lower. So I'm a bit surprised if that's not the way the merchants look at because if they focus on cost ownership is an Adyen the best choice for them instead of looking at purely on pricing? 
Sanne Minnema: Thank you for your questions, Tammy. Ethan, if you could take Tammy's first question. And Pieter, the second one was directed at you. 
Ethan Tandowsky: Yes, sure. So of course, on the first side, it's a bit of both, both on the merchants shifting priorities, moving much more of their focus from top line growth to bottom line growth. Of course, if that is the priority, that also creates an opportunity for others. And there's always been a discussion around, yes, do we provide the best functionality? Or do we go the route of providing the commoditized payments get to the lowest cost, that hasn't really changed that much. Of course, the aggressiveness of the approach can change in a moment where customers are shifting priorities is a logical moment to do it. But in the end, I think it starts with the shifting priorities of customers and also what gives us the confidence that we can grow with them and that we can provide them the best solution. 
Sanne Minnema: Thank you. And Tammy's second question was on whether we can shine a bit more light on how we look at cost of ownership. 
Pieter van der Does: It's very close to Ethan's answered. In this environment where many companies look at the bottom line, they give it a shot and they try to work with a provider. And it's something that we've seen also in the years behind us, but we also saw volumes coming back then. So it's not really new, but we've never seen it so concentrated as we do see it now. Therefore, you see the impact now. But that's -- I forgot where I was going. 
Sanne Minnema: We were discussing the overall cost of ownership. 
Pieter van der Does: Yes, our total cost of funds, it's more difficult to measure because it's indirect things. It's things of customer support. It's things of your finance department. It's related to the off rate, so how many transactions are successful. It's to returning customers, how pleasant is it to shop. So that's not that easy to measure. So hence, this is an environment in which merchants are more willing to experiment with volumes, which they can shift back and forward. I think that at the cost of ownership without the inflows, that's what we often hear back from a merchant. But hey, in this environment, to try something, why not, I can understand that mergers do that. 
Sanne Minnema: Yes. Yes. I think you see the complexity comes in many forms and it's a real multifaceted approach. Thank you for your question. We're going to see whether we can connect with Hannes again. 
Hannes Leitner: Yes. Can you hear me now? 
Pieter van der Does: Yes. 
Sanne Minnema: Yes. 
Hannes Leitner: Yes. Great. So I actually wanted to just like clearly circle back to Pieter's comments around that it's just temporary. The loss in digital customer volumes in North America. What drives your confidence on it? You alluded a little bit around the historic that those volumes came back. Can you maybe talk about the process, how did you convince them to come back? Is it really just like a wait and see? Or do you build a task force and you really go into the process, that would be the first question. 
 And then the second question is a little bit around the long term, thinking about the medium-term ambition. You haven't changed that e-commerce now is growing at a slower pace than pre-pandemic. Maybe you can talk about those building blocks between vertical segments where you see growth and then maybe also in terms of product? 
 And then just the last one is on margins and margin progression from here. You had the H2 margins already underperforming and then it dropped now to 43%. Should we think that this is now fairly stable with the expanded hiring, but the business keeps on growing, looking then into 2024 as well. 
Sanne Minnema: Thank you, Hannes. Pieter, if you could start on Hannes' question. And of course, Ethan, feel free to chip into it feels like a real mix. 
Pieter van der Does: Yes. No, those are good questions. The -- what's important for Adyen is to have a merchant base which fits us and our merchant base, the merchant base, which looks for functionality. And if you say, how do you know so sure that all volume will come back from those merchants. I look at it differently, I'd say, what's the addressable market? And do we have a compelling offering. And I say, yes, I think we'll grow in this market. So that's how we look at that. 
Ethan Tandowsky: Yes. And maybe on the building blocks for growth. You mentioned e-commerce growth overall. In the end, of course, it is important to how our customers grow. But typically, our growth has come from gaining wallet share from those customers, right? We onboard new customers in any given year. And then over time, as we show our service levels, we grow wallet share with them. So there is a component that's to our growth, which is based on the kind of organic growth rate. But there's also a big part of our growth, which comes from starting small with the customer, proving your performance, showing that your functionality creates differentiation for them and then growing wallet share over time. And that's a trend that we see across each of the pillars that we have.
 So whether that's a digital customer where it's maybe easiest to start or it's unified commerce, where you may start with the country or even a couple of stores and show your performance and grow or on the platform side, where platforms are really just getting started embedding payments. And we really think that's the direction that especially SMB payments will go. And then on top of that, of course, we have the embedded financial product offering, which will take time, for sure, but also is exciting and is an additional place where we can help platform customers, especially grow with their own customer base.
 And then lastly, on margin progression. So I think the key point for us here is that we've tried to give a bit of information around how fast we want to grow the team. What we said at the end of last year was we tried to grow the team in a similar absolute basis to last year. What we've in the first half, grown at a pretty similar rate. So 550 people. It's close to the half of the 1,200 or so that we hired last year. We plan to grow in a pretty similar way also in the second half year. Of course, we need to find the right people. We need to be sure that the roles that we have open are the right ones that will make the difference for us, but we are planning to hire in the second half year at a similar rate. 
 And then, of course, into the next year, we plan to slow that down by quite a bit. And I've said it before on the call, but there will be some trailing impact to when people join the company and when their costs are fully in the number. But we expect to get quite quickly back to the operating leverage that we feel is really inherent to the model given that single tech stack. 
Sanne Minnema: Thank you, Hannes. I hope that we answered your question well. Next up is Alex Markgraff from KeyBanc Capital. 
Alexander Markgraff: Yes. Thank you for taking my questions and for all the commentary on pricing and competition. Just maybe 1 more to add there. I wanted to ask, just at what point you started to observe some of these pressures, whether it be from kind of merchant optimization or competitive pressures on pricing, just competitors being more aggressive on pricing. When did you first observe that? And has that continued through today? 
Sanne Minnema: Thanks, Alex. Ethan, could you take Alex's question? 
Ethan Tandowsky: Yes, sure. So I think the thought of is it worth paying a premium for payments, that's not new, right? We've always been selling a functionality play on the payment side. If you say payments is strategic, which we've seen in more and more verticals over the years that they prioritize payments within their business, then you prioritize functionality. But there's always been low-cost providers on the payment side, especially in large domestic markets where the market size by itself is big, like in the U.S., there's always been pricing pressures there. 
 Of course, in a macro environment like this, where there is more of a focus, especially with these digital players in the U.S. on the bottom line that increases the focus on a lower cost provider and maybe they're more willing to take a chance than in other periods. But that discussion, the discussion between commoditized payments and true functionality, differentiated functionality, that's not new, only the intensity has changed. And yes, that's changed throughout the first half. 
Sanne Minnema: Thank you, Ethan. Also, thank you for your question, Alex. Next up is Darrin Peller from Wolfe Research. Darrin Peller will also be the last question. So after that, we'll wrap up our earnings call. 
Darrin Peller: I'd love to just hear your latest thoughts on outrates, geographic reach, integration capabilities. You've always had great differentiators there, but it seems like it's gotten a little more competitive on that front. Pricing is obviously more challenging as others are utilizing other ways to monetize like wallets and others.
 If you could just touch on reminding as the top areas your new customers are seeing Adyen as a differentiated partner other than obviously price? And then just as a quick add-on, unified commerce growth was sound. I'd just love to understand a bit more of your competitive differentiation there as well. Is it just bundling with e-com? Or is there -- and certainly not pricing. So help us understand what you're doing there as well. 
Sanne Minnema: Thank you for your questions, Darrin. Ethan, if you could take Darrin's question, the first one on how we differentiate via outrates and the second one within unified commerce. 
Ethan Tandowsky: Yes. So I think what differentiates our product is different by pillar. I think the first question is more focused on the digital side given the discussion around outrates. We still feel that we have a differentiated offering there. So outrates is still certainly something that we focus on. We still focus on making sure that we have geographic coverage. We've expanded to new markets in past years. Japan is one we're excited about. We've grown in other places like Mexico as well. 
 So we've added new countries over time as well, and we still have a really, really strong geographic coverage that helps especially enterprise digital customers to run an efficient payment setup. Of course, the way you integrate is a big part of that, especially if you have geographic complexity, but it's about having that coverage and also providing the best offering in any given market. And in any given market, it also means you need to have the right local payment methods that helps you optimize for conversion that potentially also helps you with cost. And we see that the proliferation of these payment methods is increasing. So it's an area we're still investing heavily in. 
Sanne Minnema: Thank you, Ethan. Darrin, with those answers, we've also wrapped up our earnings call. I want to thank you all for sending in your questions, taking the time to dial in. This was our H1 call. Thank you.